Operator: Greetings. Welcome to the Reliance Steel & Aluminum Company First Quarter 2021 Earnings Conference Call [Operator Instructions]. Please note this conference is being recorded. I will now turn the conference over to your host, Kim Orlando of ADDO Investor Relations. You may begin.
Kim Orlando: Thank you, operator. Good morning, and thanks to all of you for joining our conference call to discuss Reliance's first quarter 2021 financial results. I am joined by Jim Hoffman, CEO; Karla Lewis, President; and Arthur Ajemyan, Vice President and CFO. Bill Sales, Executive Vice President, Operations, will also be available during the question-and-answer portion of this call. A recording of this call will be posted on the Investors section of our Web site at investor.rsac.com. The press release and the information on this call may contain certain forward-looking statements which are based on a number of assumptions that are subject to change and involve known and unknown risks, uncertainties or other factors, including the impacts of the COVID-19 pandemic or related economic conditions on our future operations which may not be under the company's control and may cause the actual results, performance or achievement of the company to be materially different from the results, performance or other expectations implied by these forward-looking statements. These factors include, but are not limited to, those factors disclosed in the company's annual report on Form 10-K for the year ended December 31, 2020, under the caption Risk Factors disclosure in our press release this morning and other documents Reliance files or furnishes with the Securities and Exchange Commission. The press release and the information on this call speak only as of today's date and the company disclaims any duty to update the information provided therein and herein. I will now turn the call over to Jim Hoffman, CEO of Reliance.
Jim Hoffman: Good morning, everyone, and thank you all for joining us today to discuss our first quarter 2021 financial results. I will begin today with a high level overview of our first quarter performance and capital allocation priorities. Karla will then speak to our operating results and demand trends by end market, and Arthur will conclude with a review of our first quarter 2021 financials. Our resilient business model coupled with outstanding execution in a favorable market resulted in record financial performance during the first quarter of 2021. I would like to personally thank all of my colleagues within the Reliance family of companies for their dedication to health, safety and operational excellence despite disruptions from the ongoing global pandemic and various supply chain constraints. We experienced ongoing strength in metals pricing during the first quarter, led by multiple price increases for carbon steel products along with improving demand in many markets and leveraged our decentralized operating structure, small order sizes and diversification of products, end markets and geographies to achieve record gross profit margin for the third consecutive quarter of 33.6%, up 60 basis points from the fourth quarter of 2020 and up 330 basis points from the first quarter of 2020. Our record quarterly gross profit margin combined with average selling prices well above our expectations and our continued focus on expense control contributed to record pretax income of $359 million in the first quarter of 2021, up over 100% from the prior quarter and up over 300% from the prior year period. Our quarterly earnings per diluted share of $4.12 were also a record and substantially exceeded our outlook. Our strong earnings and effective working capital management resulted in cash flow from operations of $161.8 million in the first quarter of 2021 despite $182.8 million of working capital investment. This is a significant result as we typically use cash in the first quarter as we rebuild working capital from seasonal low fourth quarter levels, compounded by the significant increases in metals costs we are experiencing. We improved our inventory turn rate to 5.4 times, surpassing our 2020 annual rate and company wide turn goal of 4.7 times. Our ability to cross sell inventory among our family of companies, which we believe is the key advantage and differentiator of our model and scale was a significant contributor to our improved inventory management. Despite extended mill lead times and inventory shortages, collaboration among our family of companies and strong long standing relationships with our domestic mills enabled us to source the metal needed by our customers. Our managers in the field effectively supported our valued customers by ensuring inventory availability while maximizing margin on opportunistic orders. Our strong cash flow generation and significantly enhanced liquidity position enables us to maintain a flexible capital allocation strategy focused on both growth and stockholder returns. Our 2021 capital expenditure budget of $245 million include new buildings and other projects to expand, upgrade and maintain many of our existing operating facilities. However, when factoring in project delays and extended lead times for equipment due to COVID-19, we believe our potential cash flow outlays for our capital expenditure will be closer to $300 million in 2021 due to the prior year holdover spending. During the first quarter of 2021, we invested $43.7 million back into our business through capital expenditures, including several growth opportunities to address and exceed our customers’ and suppliers' needs. For instance, we've invested in toll processing expansions in Texas and Kentucky, given the significant demand we've experienced in our toll processing capabilities throughout our footprint. Operations at our Kentucky facility commenced in November 2020 and have been steadily ramping ever since. Construction continues in Texas on our new greenfield facility focused on carbon steel tolling, which will support increased capacity of our toll processing customers who are primarily metals producers and their end customers. We're very excited about these opportunities to expand our toll processing service offerings and see many more possibilities in the future for our toll processing capabilities moving forward. As mentioned on the last call, we are installing energy efficient lighting and solar panels in certain of our facilities, as well as investing in additional innovative processing equipment to continue providing our customers with the highest quality products and services. Turning to M&A. We continue to see a healthy pipeline of prospective opportunities, including in adjacent businesses in addition to traditional metals service center businesses as we've broadened our universe of potential acquisition candidates. Nevertheless, we will maintain our strict transaction criteria, including our focus on quality of earnings when you evaluating prospective targets to ensure a strong fit within our family of companies. I will now turn to our stockholder return activity. During the first quarter of 2021, we paid $44.8 million in dividends to our stockholders. We've maintained our payment of regular quarterly dividend for 62 consecutive years without ever suspending payments or reducing our dividend rate. In fact, we've increased our dividend 28 times since our 1994 IPO, including the most recent increase of 10% in the first quarter of 2021. At March 31, 2021, approximately 2.8 million shares remained available for repurchase under our stock repurchase program. We expect to remain a prudent allocator of capital by maintaining our flexible approach focused on both growth, which remains our top priority and stockholder return activities, including opportunistic repurchases of our common stock. In summary, I am inspired by the strong operational execution demonstrated by the entire Reliance team during the first quarter of 2021. Our unwavering focus on the core elements of the Reliance business model, including health and safety, pricing discipline, diligent expense control when needed inventory management, organic growth and innovation, enables us to perform from a position of strength in both good times and bad. In the current environment characterized by extremely high metal pricing, strong demand from many of our customers and limited metal availability, we believe Reliance remains well positioned to continue generating strong earnings. Given our strong liquidity position, we look forward to continuing to support the growth and needs of our customers and suppliers, while also returning value to our stockholders. We will continue to support our colleagues, customers, suppliers and communities in a sustainable manner through both the challenges and opportunities that lie ahead. We remain confident that America is going to need Reliance to rebuild. Thank you for your time and attention today. I will now turn the call over to Karla to review our operating results and demand trends. Karla?
Karla Lewis: Thanks, Jim, and good morning, everyone. I would like to echo Jim's sentiment by thanking all of our colleagues within the Reliance family of companies for their amazing performance during the first quarter. Strong demand conditions in the majority of our end markets resulted in our tons sold increasing 11.3% compared to the fourth quarter, which was within our guidance range of up 10% to 12% and above the typical seasonal improvement in shipping volumes we experienced in the first quarter. While demand is healthy and continues to improve in most markets, our first quarter shipments did not reach pre pandemic levels and were down 4% from the first quarter of 2020. However, on a per day basis, our tons sold were down only 2.5%. And we believe underlying demand is stronger than our shipment levels reflect, given many factors holding back economic activity for us, our customers and our suppliers, including metal supply constraints, supply chain disruptions for various components and materials and labor and trucking shortages. The good news is we expect to fill this demand in future periods, and these factors support increased metal pricing. This strengthened demand, coupled with rising input costs and limited metal availability, resulted in metal prices accelerating throughout the first quarter for many of the products we sell, most notably carbon steel products. Our average selling price increased 20% compared to the fourth quarter of 2020, exceeding our guidance of up 12% to 14% by a significant margin. These robust demand and pricing conditions contributed to an all time high quarterly gross profit margin of 33.6%. On a non-GAAP FIFO basis, which we believe is the best measure of our day-to-day operating performance, we achieved a record gross profit margin of 37.1%, an increase of 350 basis points compared to the prior quarter and up 600 basis points from the first quarter of 2020. Way to go team Reliance. Our record gross profit margin was the result of outstanding execution by our managers in the field, who once again effectively implemented price increases at the time of mill announcement prior to receiving the higher cost metal into inventory, maintain their focus on higher margin orders and were very selective given limited metal supply, which enabled us to capture an incremental margin benefit in excess of already strong levels. I'll now turn to a high level overview of our key end markets. Demand for nonresidential construction, which includes infrastructure and is the largest end market we serve, continue to improve with first quarter shipments approaching pre pandemic levels. We continue to experience strong quoting activity for projects for big box retailers, healthcare facilities, schools, large warehouses and data processing centers, among others. And given our healthy backlogs, quoting activity and positive customer sentiment, we believe demand will remain steady at current solid levels. We saw continued strength in demand for the toll processing services we provide to the automotive market, surpassing activity levels in both the fourth and first quarters of 2020 with automotive OEMs and steel and aluminum mills continuing to ramp production. Importantly, our tolling operations serving the automotive market saw only minimal impacts to date as a result of the global microchip shortage, and we expect tool processing volumes to remain strong. Demand in heavy industry for both agricultural and construction equipment continued to improve in the first quarter as our customers increase production levels to meet customer demand and replenish dealer inventories. Demand for industrial machinery used in manufacturing processes was also strong in the first quarter of 2021. Absent disruptions for our customers that impact their production, we expect demand to continue at strong levels. Semiconductor demand during the first quarter continued to strengthen from the fourth quarter and we expect this to continue. The semiconductor space continues to be one of our strongest end markets. In regard to aerospace, I'd like to remind you all that commercial aerospace represents roughly half of our aerospace exposure. Demand in commercial aerospace began to experience limited signs of improvement compared to the fourth quarter of 2020, which we believe was the trough of the current cycle. We expect limited improvement throughout 2021. On the other hand, demand in the military, defense and space portions of our aerospace business remains strong with backlog improving during the quarter. We anticipate strong demand continuing in the noncommercial aerospace market for the balance of the year. Finally, demand in the energy sector, which is mainly oil and natural gas, saw a modest recovery towards the end of the first quarter of 2021. We anticipate a slight improvement in the second quarter given current oil prices and customers needing to replenish inventory for certain products. We entered the second quarter of 2021 with strong demand and pricing momentum that creates an environment for us to optimize our model and deliver strong results. We remain dedicated to partnering with our key customers and suppliers during these extraordinary times and we can only do this with the continued commitment to health and safety and operational excellence that our Reliance colleagues have demonstrated every day throughout very challenging times. Thank you all. I will now turn the call over to Arthur, who will review our financial results. Arthur?
Arthur Ajemyan: Thanks, Karla, and good morning, everyone. I'll start with a recap of our quarterly results. Strong pricing, healthy demand and record gross profit margin contributed to record gross profit dollars, which in turn drove record pretax income and record earnings per share. Turning to our sales. The significant increase in metal pricing and healthy demand resulted in our first quarter sales increasing 33% over the fourth quarter of 2020. Compared to the prior year period, our first quarter sales were up over 10%, supported by the strong pricing momentum for most carbon steel products. As Jim and Karla mentioned, the strong pricing environment, along with our focus on higher margin orders and continued investments in value added processing capabilities, collectively resulted in record quarterly gross profit of $953.7 million and a record gross profit margin of 33.6% in the first quarter of 2021. We incurred LIFO expense of $100 million in the first quarter of 2021. This compares to LIFO income of $20 million in the first quarter of 2020 and LIFO expense of $15.5 million in the fourth quarter of 2020. At the end of the first quarter, our LIFO reserve on our balance sheet was $215.6 million. We revised our annual LIFO expense estimate to $400 million from $340 million, primarily due to higher than anticipated costs for certain carbon steel products. Consistent with our accounting policy, we allocate our annual estimate on a pro rata basis in each quarter. As such, our current projected LIFO expense for the second quarter of 2021 is $100 million. As in prior years, we will update our expectations each quarter based upon our inventory cost and metal pricing trends. Now turning to our expenses. Our SG&A expense was generally consistent with traditional seasonal trends, increasing $54.9 million or 11.8% compared to the fourth quarter of 2020 due to strong volume and pricing momentum. The quarter-over-quarter increase was mainly a result of higher incentive based compensation given our record gross profit and pretax income. Overall, our headcount remained relatively consistent with year end levels. In comparison to the prior year period, SG&A expense was roughly flat due to lower wages as a result of reduced headcount, which was down approximately 8% year-over-year and was offset by higher incentive compensation due to record earnings levels in the first quarter of 2021 and to a lesser extent, inflationary increases. We will maintain our disciplined approach to expense management and continue to monitor our expense structure as we progress further into 2021. Our non-GAAP pretax income of $357.1 million in the first quarter of 2021 was the highest in our company's history and represents an increase of $136.5 million or 61.9% from the first quarter of 2020 due to favorable demand and pricing conditions, strong execution and diligent expense management. Our non-GAAP pretax income margin of 12.6% was also a record and exceeded the prior year period by 400 basis points. Our effective income tax rate for the first quarter of 2021 was 25.3%, up from 24.3% in the first quarter of 2020, mainly due to higher profitability. We currently anticipate a full year 2021 effective income tax rate of 25%. As a result of all these factors, we generated record quarterly earnings per share of $4.12 in the first quarter of 2021 compared to $0.92 in the first quarter of 2020. On a non-GAAP basis, our first quarter earnings of $4.10 per share significantly exceeded our outlook and were up 104% from $2.01 in the fourth quarter of 2020 and up 67.3% from $2.45 in the first quarter of 2020. Turning to our balance sheet and cash flow. Our operations continue to generate cash despite significantly higher working capital needs. We generated strong cash flow from operations of $161.8 million during the first quarter of 2021 due to our profitable operations and effective working capital management including our focus on inventory turns. As of the end of the first quarter, our total debt outstanding was $1.66 billion, resulting in a net debt to EBITDA multiple of to point 0. 85 times. We had no borrowings outstanding on our $1.5 billion revolving credit facility, providing us with ample liquidity to continue executing on all areas of our capital allocation strategy, while maintaining our investment grade credit rating. I'll now turn to our outlook. While macroeconomic uncertainty stemming from the COVID-19 pandemic continue, we remain optimistic about business conditions with strong underlying demand in the majority of the end markets we serve. However, factors impacting shipment levels in the first quarter of 2021, such as metal supply constraints and supply chain disruptions for many of our customers will continue to persist in the second quarter of 2021. Despite these factors, we estimate tons sold will be flat to up 2% in the second quarter of 2021 compared to the first quarter of 2021. We expect metal pricing will remain near current levels with the potential for further upside in certain products. Since current metal prices are substantially higher than the average selling price in the first quarter of 2021, we estimate our average selling price per ton sold for the second quarter of 2021 will be up 5% to 7%. Given the strong demand and pricing fundamentals, we anticipate continued strength in our gross profit margin in the second quarter of 2021. Based on these expectations, we currently anticipate non GAAP earnings per diluted share in the range of $4.20 and to $4.40 for the second quarter of 2021. In closing, we're extremely pleased with our record first quarter 2021 operational and financial performance supported by strong pricing and demand trends, as well as excellent execution by all of our colleagues in the field. These factors collectively resulted in yet another quarter of robust profitability and cash flow, enabling us to continue executing on our capital allocation priorities of investing in the growth of our business and returning value to our stockholders. That concludes our prepared remarks. Thank you for your attention. And at this time, we'd like to open the call up to questions. Operator?
Operator: [Operator Instructions] Our first question is from Seth Rosenfeld with Exane BNP Paribas.
Seth Rosenfeld: If I can kick up into the question on margin performance and inventory holding gains you achieved in Q1, you walked through the benefits of the company in passing on higher price hikes to your customers before you realized the higher costs in inventory. Can you give us some color on how you expect that to progress into Q2 and beyond? Should we expect comparable level of tailwind or some compression as is going to catch up on the inventory cost side?
Jim Hoffman: Well, we've been doing this a long time, that's part of our model. I think our customers see us as part of their business. The customers we service know and we've proven to be there for them time and time again with innovative new equipment and the fact that we're able to give them an uninterrupted flow of production equipment. So we work real hard to make sure that we're there for them and we haven't let them down. So I think the majority of the customers that we do business with, they see us differently. They know if they want to lower price, they can go elsewhere and on time on the phone and try to beat somebody down on the price. So we know what we bring to the market. So we're going to continue to do that because it works. And we care about our customers and our suppliers care about us. So it's a model that we've been working real hard on for decades and over these last couple of years, we've tweaked it to actually do more value added. So we think it will continue to go and we're not going to let our customers down, and I know that our domestic partners aren't going to let us down. So that is the key to to continue to be able to pass these increases along. Because right now, it's a matter of availability and service and what have you, and Reliance happens to to do real well at both of those.
Karla Lewis: And Seth, just to add on a little more specifically to your question on the inventory holding gains. As Jim said, I mean, that has been our model for years and we think our folks execute on it very well. With the guidance we had given and as we’ve commented on, prices did increase more than we had anticipated in Q1. So we were able to keep that momentum going during the quarter. With the way it works for us in our model, if at some point, the increases stop and as we do get more of the higher cost metal in then we will see some compression in those elevated gross profit margins. However, with the current dynamics that are out there of continued price increases and a little bit of supply constraint, getting the metal into average of our inventory we have been experiencing these really strong FIFO gross profit margins, but we don't know that they're sustainable at that level, because we do anticipate, as I said, some compression whenever our inventory cost increases. But right now, we're seeing continued strong pricing and potential for more increases.
Seth Rosenfeld: So continuing into Q2, but as ever not sure has the single gain in the longer term that makes perfect sense. On working capital, very good working capital performance in Q1, and you touched on the ability to sell across the platform as being a benefit for you or so many of your peers. Can you give us a sense of how you expect working capital to progress into Q2 and beyond? Should we expect further modest investment in Q2 or something more neutral as the pace of prices potentially start to stabilize?
Arthur Ajemyan: So when you look at Q1, we had, I would say, a significant portion of the kind of working capital build behind us, so to speak, higher prices, particularly in our accounts receivable, which was up close to $350 million quarter-over-quarter. So we wouldn't anticipate any more significant build in our receivables. But with inventories, there's continued cost escalations. So there's probably going to be some additional build there. And then on the payable side, we anticipate having some tax payments in the second quarter that's probably going to be use of cash. So all in all, I think to recap up it's fair to say that the the large piece of the working capital build is somewhat behind us.
Operator: Our next question is from Satish Kasinathan with Deutsche Bank.
Sathish Kasinathan: My first question is on the M&A landscape, given the current high profitability across the industry, are you seeing any reduction in available opportunities and when do you think there could be a turnaround?
Jim Hoffman: Yes, the M&A front, it's active. We continue to see activity there. We, like I said in the last call, looked at over 100 of them last year and didn't see the one that made sense or things just didn't work out. But right now what we're looking at looks fine, that's just not traditional metal service. We're also looking at adjacent type businesses. So we're open to good companies. I'm sure you've heard before, we don't kind of go like we're going to buy three companies this year, five companies this year, we just look at them as they come. We're always on the prowl looking for good companies. We have a strict criteria to get into the family of companies. We protect that very proudly. We care about the people we want to be part of the team. And there are some fine companies out there. It's just a matter of [Technical Difficulty] for sale and what kind of -- they think they're worth or what we think they're worth or both. There's some fine companies out there. We'll continue to look at those things. It's a part of our model. It has been for a long period of time. We've done 67 of them. There's no reason to think that the pipeline is empty because it's not. But we'll continue to work hard. We'll do our due diligence and we've proven over a long period of time, if you buy the right company and they fit in Reliance that we can really do good things. So we'll continue to do that. Now M&A that's just one of the avenues that we're able to use our cash for. So we're in a good situation with cash. And we'll continue to do the prudent thing with that cash, like we always have, but M&A is certainly a part of that. And that's all I can really say right now without telling everything I know, but there's a lot of good companies out there to look at. Karla, you might have something to add to that?
Karla Lewis: Yes, I would just add on to that. As Jim said, obviously, M&A is part of our growth strategy but so is organic growth. And we talk about our large CapEx budget. We see a lot of continued growth opportunities and a lot of that is spread out across our network. But at the same time, for instance, in last year's budget we have the two tolling operations that we talked about, one at Kentucky and one in Texas. Those are new start ups, individually, they're as big and bigger than the contribution we can get from some of the acquisitions that we do. So I think maybe we don't always point that out as much that some of those projects are similar to doing an acquisition, we just usually make more of this flash when we do it through an acquisition. So there is definitely growth continuing on the organic side as well.
Jim Hoffman: And just one thing to add there. Karla is right. We've worked our way into a position where we can be selective. We've already talked about that. But sometimes you look at a company in a particular part of the world and you think, well, do we buy that company and pay a premium or do we simply dip into our CapEx fund and add some equipment with one of the companies we already own. So you should take that into consideration when you look at our M&A activity. It's pretty good place to be but that is part of our thought process.
Sathish Kasinathan: My second question is on non-res construction, given the strong order backlog, are you adding or even planning to add additional crews to cater to the increased demand?
Karla Lewis: So on the non-res side, that's our largest end market and we're very positive on that. We have continued to invest in our operations, servicing non-res consistently with additional value added processing equipment, also expanding facilities. So we think we're in a very good position. We've been selective. We're focused on high quality earnings and trying to do more value add for the right orders. But we do have, as we've mentioned before, additional capacity in our current network to take on more volumes. So whether that comes from more traditional non-res, if the infrastructure bill passes and we see a significant pickup there, which would be very positive for us, we do have the capabilities because we have consistently invested in these operations over the years.
Operator: Our next question comes from Phil Gibbs with KeyBanc Capital Markets.
Phil Gibbs: Just listening the previous questions, whatever you're doing, keep doing it, it's working. The demand environment right now, Jim and Karla, for April, how is that shaping up so far relative to what you saw in March, just in terms of how the cadence has progressed through the first quarter and into April?
Jim Hoffman: Phil, yes, it continues. We're not giving you specifics. It's just -- just because of the quarter changed calendars didn't change the market. So it continues to do what it's doing. To quote a friend of mine, we're still working our mojo. So we continue to do that, we'll have another quarter. So yes, just to answer your question, it continues.
Phil Gibbs: Is Bill on the call at all?
Jim Hoffman: Yes. Bill?
Bill Sales: Yes, Phil, I'm here.
Phil Gibbs: There was some commentary earlier in the call about defense and space being solid this year with, I think, even you said increasing backlogs. In terms of the big major programs where the push is happening, any specifics you could give behind that?
Bill Sales: Well, one of the larger programs that we support is the joint strike fighter and that, that activity level is strong and continues to be strong. And I think that outlook, as we said, for the balance of the year should continue. But then just overall, when you look at program after program, there's a lot of activity on the military and defense and space side. So it's great seeing a little bit of the downturn that we've had to deal with on the commercial aerospace side that we do have some offset in these other markets.
Phil Gibbs: And then just on some of the signs that you all are seeing in oil and gas and maybe some select inventory replenishment. Is that something that you all expect to accelerate as the year progresses, and is that purely a domestic comment or is that a global comment as well?
Karla Lewis: So on the oil and gas side, and remember, too, where we participate, we're not in the big OCTG or line type product. So in the areas where we participate, and we tried to make it clear, it wasn't a huge increase, but kind of any activity was positive activity. It's good to see our folks down in Houston smiling again. So we're pleased to see some activity. We think more of it probably maintenance and repair as opposed to any significant new growth, that's more on the domestic side. So we do see our customers coming in asking us for quotes again that we haven't seen for a while. We're seeing them have some holes in certain parts of their inventory. Other parts, there's still plenty of inventory out there, especially compared to the low levels in the fourth quarter. It was positive to see some activity starting there. We think that, that will continue. But again, at kind of slow moderate rates as we move through the year. International, that has held up better than domestic. So that stayed more steady from an international standpoint.
Jim Hoffman: Phil, we also participate in renewable energy as well and the activity there is good.
Phil Gibbs: And then last question, just out of curiosity, given all the swirling headlines on semiconductor shortages and OE outages. You obviously participate aggressively in automotive through your tolling business, which I think just based on memory, a lot of that's just in time. So what are you seeing there in terms of the ebbs and flows and some of these disruptions? What are your customers telling you in terms of what may happen in terms of catch up, if you are seeing impacts? Just trying to understand and [Technical Difficulty] that out because there's obviously a lot of things swirling.
Bill Sales: Phil, as we said, we really saw a minimal impact to that in the first quarter. We do think we'll see slightly more of an impact in Q2. But we're picking up some new business on the tolling side. I think it will partially be offset by some new programs that we have. So we do expect that we'll see a little more of an impact in Q2 but it's still going to be minimal from an overall point of view. And I think if you look at the programs that we support, you know it's more focused on the SUV and truck platforms and those are the more profitable platforms with the auto guys. Your point of, do we think there's going to be some catch up? Absolutely, we do. We think they'll try to ramp up production to offset some of these losses as soon as the chip availability is back in place. So I know that's a focus and I think all of those OEMs are working hard to minimize the impact of the shortage.
Operator: [Operator Instructions] Our next question comes from Alex Hacking with Citibank.
Alex Hacking: Regarding the supply chain disruptions that you and everyone else in the industry has been seeing. Have you seen any alleviation there? I mean you mentioned that it's continuing into 2Q. But I guess, what's the cadence? And then I guess without lease disruptions, do you think demand would be back at pre COVID levels when you look across the board even above pre COVID levels given some of the restocking activity that's going on?
Jim Hoffman: I can just tell you what our crystal ball says. On the metal side, it sounds like the mills are ramping up, which is a good thing, so that should help with that. And as far as the the supply chain issues, I'm assuming you're referring to computer chips and rubber, and all the other things in freight and all those types of things that are existing right now. And all those things have a tendency to work themselves out. I don't think that will change, it's just a matter when they all work up. Our thoughts are and our hopes are that people will have learned their lesson. I mean long supply chains don't work very well. And Reliance for decades has recognized that and we are -- our decision to support our domestic suppliers is it because they're all good looking folks, although they are, it's just a matter of they're here and it's a shorter supply chain. So I hope people learn that. It sounds like some are. I've read where certain chip manufacturers are going to bring some production and manufacturing to the United States, which is a great step. And Karla, you may have some more on that, but we're optimistic about things getting better.
Karla Lewis: Alex, as we kind of said in our prepared remarks, we feel that underlying demand is strong and that first quarter shipments would have been stronger, not for some of these disruptions. And we that we do see that continuing into Q2. There are a lot of different factors affecting the supply chain. So it's hard to really talk specifically about the cadence except that we do think they will still be there, but we also believe that underlying demand is strong based on what we hear from our customers. In addition to actual like chips and rubber and things like that, there's also the issue with labor shortages. We do hear from a lot of our customers that if they had qualified people to fill jobs that they would be at higher production levels. Also, there are the freight shortages because of the activity that's out there. Reliance, remember that we actually own and manage our own fleet of trucks. So we think that's a real advantage for us in markets like this, in all markets, but including in the current one. So we're very confident we can deliver to our customers. There's a bit more of a difficulty getting metal into some of our locations where we rely on third parties a little more. But we work very closely with our domestic mills and are looking at creative solutions to try to help with that as well. But we do think that's an advantage but we see a lot of those pressures continuing into the second quarter.
Jim Hoffman: I think this is a really good lesson on the quote that cheap is expensive. I think people are learning that. Again, this time around. So let's all keep our fingers crossed that people will remember at this time.
Operator: We have reached the end of the question-and-answer session, and I will now turn the call over to Jim Hoffman, CEO, for closing remarks.
Jim Hoffman: Great. Thanks to all of you on the call today for your time and attention. We’re thrilled with the strong operational execution demonstrated by the entire Reliance team, which contributed to our record financial achievements in the first quarter of 2021. None of which would have been possible without the hard work and relentless commitment to health, safety and the well being of our colleagues in the field. Lastly, before we sign off, I would like to remind all of you that we will be participating virtually in the following upcoming investor conferences in May. Wells Fargo, Industrial Conference; Goldman Sachs, Industrial and Materials Conference; and Bank of America, Merrill Lynch Global Metals and Mining Steel Conference. We hope to see many of you at these events and thank you very much for your continued support and commitment to Reliance. Please stay safe and healthy.
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation, and have a great day.